Operator: Good afternoon, ladies and gentlemen and welcome to the AngloGold Ashanti Second Quarter 2015 Results Conference. All participants are currently in listen-only mode and there will be an opportunity to ask questions later on during the conference call. [Operator Instructions] Please also note that this conference is being recorded. I would now like to turn the conference over to Mr. Stewart Bailey. Please go ahead, sir.
Stewart Bailey: Thanks, Chris and good afternoon or good morning everybody and welcome to the presentation of our second quarter results for the three months to the 30 June. In the room here in Johannesburg you have got a full executive committee. You have Graham Ehm, who is head of project and planning. You have got Venkat, Ron Largent. Chris Sheppard, our Chief Operating Officer for South Africa, Christine Ramon, CFO and Charles Carter, our head of business development. As is customary, I am just going to run through our Safe Harbor statements and then we will get right into it. Certain statements contained in this document, other than statements of historical facts including, without limitation, those concerning the economic outlook for the gold mining industry, expectations regarding gold prices, productions, cash costs, all-in sustaining costs, all-in costs, cost savings and other operating results, return on equity, productivity improvements, growth prospects and outlook of our operations, individually or in the aggregate, including the achievement of project milestones, commencement and completion of commercial operations of certain of our exploration and production projects and completions of acquisitions, dispositions or joint venture transactions, our liquidity and capital resources and capital expenditure and the outcome and consequence of any potential or pending litigation or regulatory proceedings or environmental health and safety issues are forward-looking statements regarding our operations, economic performance and financial condition. These forward-looking statements or forecasts involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements to differ materially from the anticipated results, performance or achievements expressed or implied in these forward-looking statements. Although we believe that the expectations reflected in these forward-looking statements and forecasts are reasonable, no assurance can be given that such expectations will prove to have been correct. Accordingly, results could differ materially from those set out in the forward-looking statements as a result of, amongst other factors, changes in economic, social and political and market conditions, success of business and operating initiatives, changes in the regulatory environments and other government actions, including environmental approvals, fluctuations in gold prices and exchange rates, the outcome of pending or future litigation proceedings and business and operational risk management. For a discussion of these factors, refer to annual reports filed on Form 20-F with the U.S. SEC. These factors are not necessarily all of the important factors that cause our actual results to differ materially from those expressed in forward-looking statements. Other unknown or unpredictable factors could also have material adverse effects on these future results and consequently you are cautioned not to place undue reliance on them. We undertake no obligation to update publicly or release any revisions to these forward-looking statements to reflect events or circumstances after the date hereof or to reflect the occurrence of unanticipated events, except to the extent required by applicable law. All subsequent written or oral forward-looking statements attributable to AngloGold Ashanti or any other person acting on its behalf are qualified by these cautionary statements. The communication may contain certain non-GAAP financial measures. We use these measures and ratios in managing our business. Non-GAAP financial measures should be viewed in addition to and not as an alternative for the reported operating results or cash flow from operations or any other measures of performance prepared in accordance with IFRS. In addition, the presentation of these measures may not be comparable to similarly titled measures other companies may use. We post information important for investors on our Web site on the main page under the Investors tab. We update it regularly, you should look at it. Venkat, without further ado I’ll hand over to you.
Srinivasan Venkatakrishnan: Good morning and good afternoon ladies and gentlemen. Firstly, apologies for my voice. I picked some sort of a throat bug. So if I don’t come across as I normally do, that is the reason. To kick off, the AngloGold Ashanti team is pleased to present today another strong set of results and a continued delivery of our strategy. As you know we, like several other gold mining companies, are in a tough market. But certainly from our perspective, the more tougher it gets, the more our determination to deliver becomes. If I can quickly refer to the introductory slide starting with Slide no. 5. To recap our strategy to deliver sustainable cash flow improvements and returns are built on five pillars. Starting with foundation which is around safety, people and sustainability. Secondly, financial flexibility to see us through the various cycles. Then the third area is around operational excellence, here we take into account the production, costs and capital and we measure it on all-in sustaining cost and all-in cost, further enhancing our portfolio quality. And finally, preserving a focused long-term optionality in the portfolio recognizing that the mining industry does go through cycles From the team's perspective, we are a committed and reliable team. Our philosophy is very simple. We say what we are going to do. We do it. We then come back and say we have done it. So what you see with us is what you get. So moving on to Slide no. 6, in terms of the second quarter highlights. Starting off with free cash flow. We delivered free cash flow of $71 million during the quarter and Christine will unpack the number in further detail. In terms of production across the group, we met our market guidance of 960 to a million ounces, came in at 1,007koz. Our total cash cost dropped by 14% year on year, came in at $718 an ounce, again beating guidance. Our adjusted headline earnings came in at $26 million and our all-in sustaining cost for the group came in at $928 an ounce, an improvement of 12% year on year. Unpacking these further, at the international operations which includes our operations in Americas, in continental Africa and Australia, the all-in sustaining cost came in at $844 an ounce, reflecting strong performance from the international operations and the cost improved by 16% as compared to the second quarter of 2014. Turning to the South African region. Although the production fell year on year, the performance improved by 9% from the first quarter of 2015 this year to the second quarter. And the South African region accounted for 26% of the group's production during the quarter. Importantly, Mponeng, which was the area of trouble during the first quarter delivered a 34% improvement going into the second quarter of this year. Turning to the balance sheet. We completed the sale of Cripple Creek & Victor and we have ring-fenced those proceeds for debt reduction. And on a pro forma basis the balance sheet has actually improved with a ratio of 1.44 times. Further details will be provided by Christine but more importantly, that balance sheet deleveraging has come on the back of no dilution to our shareholders. Turning to safety on Slide number 7. It was a good quarter overall save for the very last day where we unfortunately had one fatality in South Africa at Kopanang. It was a fall off ground incident. Our safety metrics improved quarter on quarter. All injury frequency rate improved by 4%. The fatality injury frequency rate improved by about 70% and the lost time injury frequency rate by 3% as well. Continental Africa continues to deliver a very good safety performance with Siguiri, Iduapriem and Sadiola being injury free. In terms of South Africa, two milestones were reached. TauTona recorded two years without a fatality for the first time in its history and Moab Khotsong recorded 2 million fertility free shifts as well. But our focus in terms of safety continues without any interruption in that regard. Turning to Slide no. 8, most of which I have covered during the introductory Slide. As you can see, the price actually reduced quarter on quarter given the decline in the production in South Africa year on year and the fact that the second quarter of last year included full production from our Navachab mine and full production from Obuasi. You saw a 8% decline in production but virtually every cost metric was reported positive. We saw an improvement in total cash cost of 14%, CapEx reduction of around 26% and our all-in sustaining cost and all-in cost improved by 12%. Our EBITDA and free cash flow also improved quarter on quarter. The small swing you see in corporate cost relates to reversal of some of the charges which we had made to one of our joint-ventures but on a year-to-date basis, 2014 and '15, it is flat year on year. With these introductory comments, I will hand you over to Chris Sheppard, for his maiden presentation on the South African operations.
Chris Sheppard: Thank you, Venkat and good day ladies and gentlemen. As you no doubt are aware, as indicated previously, I have taken over from Mike O’Hare from the first of June this year and to say that a hand over has taken place over the last few months and that has assisted a smooth transition given the criticality of the South African region. My immediate focus areas in the short-term, I will just lightly touch on those, first the safety. Whether pursing our journey through zero harm or minimizing the debilitating effect of Section 54 is number one my agenda at this stage. Secondly, we need to improve our face length minable position in order to improve volumes through increased mining flexibility. And third and important issue in my life at this stage is the delivery of the Mponeng below 120 project. If we can then turn the page to West Wits operations on Slide 10. It's pleasing to note that TauTona has delivered to expectation with a year-on-year improvement in cash costs of some 8% and as commented on by Venkat, TauTona achieved two-year fatality free shift during the month of May this year. We have seen pleasing progress with the reef boring project with the latest Mark 4 machine being imminently commissioned on site and the current machines that are on site operating are approaching blueprint cycle times. Furthermore, the ultra high strength backfill test has successfully been able to achieve a pumping of backfill over 1000 meters distance which was a key milestone in the project program. Turning to Mponeng. Performance was impacted on two fronts. Firstly, the section 54 stoppages that occurred in quarter one that ultimately impacted on performance on quarter two, as well as physical stoppages that took place in quarter two. Secondly, the execution of a de-risk plan saw planned reductions in all three operating levels of the existing mine and this plan intended to address safety concerns related to seismicity and ventilation issues. And pleasing to note that this has now resulted in some stable performance going forward. Having said that, the West Wits operations cash cost have improve quarter on quarter by some 19% with quarter on quarter production improving by 22%. We turn the page to Slide 11 for some more updates on Mponeng. I think the key issue here is that Mponeng's broader challenges in essence relate to the delay in delivery of the below 120 project on 123 level and 126 level. On an above 120 level, as I indicated, production is constricted by seismicity and ventilation issues. And then also coupled with the extended lateral distances to [indiscernible] bases along with reduced and reducing effect of [phase pump] [ph]. As far as the below 120 project is concerned, completion of the infrastructure and associated operational readiness is the clear current management focus and, secondly, the completion of significant secondary ground support work is necessary to facilitate full infrastructure commissioning to support the medium term ore reserve development program and production ramp up. Fleet availability challenges have been addressed by the introduction of redundant fleet ex-Obuasi. The constructive engagement of original equipment manufacturer to provide requisite off the shelf service and the improvement in the underground operating environment. Turning to Slide 12 and Vaal River. Here production was significantly impacted by safety-related stoppages. If one unpacks the grade at Moab Khotsong, this was adversely impacted by mining mix which resulted from high grade production being impacted by seismicity and having to redeploy production crews to lower grade areas. And obviously this then has an impact on overall grade recovered. Great Noligwa shaft being placed on care and maintenance with all the logistics and many materials being delivered through the Moab Khotsong shaft system. It must be noted that Kopanang is a lower grade operation and as such requires it to deliver its volumes of production in order to deliver a margin, and this of course being challenged by the high number of safety related stoppages in the quarter. Lastly, to note that the consolidation of Vaal River district continues and has yielded some $18 million of savings with associated efficiency improvements measured in the same period to last year. Turning to Slide 13. I think it is important to note that ore reserve development position, as I said in my opening comments, is high on our priority list. I think the first point is, is that we recognize that ore reserve development has been negatively impacted on all fronts by the safety stoppages, hence the priority. Better safety performance will facilitate improved ore reserve development volume and will provide for additional mining flexibility as additional face length becomes available. Clearly, one can see in the graphic on Slide 13, I think there are two points to be made. One is that the ore reserve position is clearly stable. Having said that, that Mponeng below 120 project is imperative. That project then delivers additional face length and ore reserve development position to get us to a 20 to 24 month horizon. Kopanang, one can see in the graphic, that’s the underground plan that one can see in the presentation Slide 13. Does indicate the fact that we are getting pinching up in some areas of the mine. We have had to, along with the reduced gold price, have repositioned ourselves to mine still profitably for cash. And I think that’s enough said on that one. Turning to surface operations. If we look at the hard rock portion of surface sources with respect to production, increased volumes have been mined from the lower grade Kopanang marginal ore dump. The surface rail infrastructure bottleneck has been addressed through the introduction of road transport flexibility and lastly, plant availability issues have been addressed. And these issues ultimately have pushed up the unit cost as indicated for quarter two. With respect to mine waste solutions, quarter two volumes were impacted upon by late commissioning of pumping facility. Recovery challenges in the floatation circuits continue to receive focused attention along with improved carbon management. Lastly, I would like to touch on the current wage negotiations on Slide 15 and I think the key points I would like to make here, ladies and gentlemen, is all unions have rejected the final offer. In other words, 1000 rand per month for entry-level employees with no added benefits. And this offer would have essentially got entry level employees to around 13,200 rand per month in the third year of agreement. Secondly, the NUM has registered a dispute with the CCMA for statutory mediation and we remain of the view that we have made a fair and generous offer which is sustainable for our business and for the broader gold industry. And a reminder to all that our offer requires all parties to accept the offer that we have made Importantly, we continue to keep all communication channels open at this time and it should be noted for this meeting that the rejection of our final offer -- with the rejection of our final offer, that we have reverted to our previous firm offer of 750 rand per month for entry level employees which includes benefits for each of the three years. Thank you, ladies and gentlemen. I will now hand over to Ron Largent.
Ron Largent: Thank you, Chris and good morning. I will provide some detail around our quarter two 2015 operating results for Continental Africa, Australia and Americas region and also discuss some of the critical work streams that are underway to develop the optionality within the portfolio. As usual, I will not dig into the nitty-gritty of each operating asset as the detailed results are contained within the quarterly report. Before I get into the regional outcome for quarter two, I would like to reflect on some of the trends that we have seen in the international portfolio over the past two plus years since we embarked on our drive to improve efficiency and navigate the low gold price scenario but also to prove that we actually can thrive in it. For the past two years, I have asked you to watch or monitor the cost numbers in each of our quarterly results and to draw your own conclusions around the effectiveness and sustainability of our cost management work within AngloGold Ashanti. We set ourselves a challenging list of objectives in early 2013 for this work. We communicated during the quarterly results that the primary outcome was to remove $500 million from the operating cost basis within an 18-month period. Referring to Slide 17, I think you will agree that this Slide tells a compelling story around what this team has been able to achieve by focusing on the operations and relentlessly driving efficiency. Now with more than two years of data to support us, we can illustrate not only the effectiveness but also the sustainability of the process we have created. The first step change was in early 2013 when our all-in sustaining cost reduced to around $1200 per ounce. We worked hard at capital allocation and addressing all other cost elements, overheads and operating. And by the end of 2013 and for the entire year of 2014 another step change was completed that produced an all-in sustaining cost of US$1000 per ounce. Now for the first two quarters of 2015, we have ended with all-in sustainable cost of less than $850 per ounce. Overall, the international operations which account for approximately 70% of the total AngloGold Ashanti production, have continued to improve margins even with reduced gold price. My group continues to work on efficiencies that will maintain and improve our outcomes into the future. We will reiterate that this work is all inclusive, including, stay-in business, capital, working capital and direct operating cost. But this effort is not only about cost reductions. We are devoting significant effort analyzing our mining methods, looking at our ore body options, process optimization and scrutinizing procurement and contracts to looking hard at how to best lift our labor efficiency. Everyone is aware of the challenges we face as an industry but we must not lose sight of the fact that there is significant opportunities that remain. Slide 18. This Slide, we utilize internally to create competition within my management team and with their peers in the industry. This data is from publically available information. As you can see, it's been a transformational move for the company, especially for this portfolio of international asset. We moved from the top cost quartile in 2013 to the lower quartile in the first half of this year. We will continue to work hard to stay there and I believe we have shown on the previous Slide that our efforts are sustainable. So when you total, the international operations have managed approximately $300 per ounce of the all-in sustaining cost from a 2013 base. This would even be greater if I compared it to 2012. Now for quarter two results of the international operation. International operating group performed well on all production related metrics during quarter two. Production totaled 746,000 ounces compared to 713,000 in quarter two 2014 with an associated 12% reduction in all-in sustainable cost. Slide 19. Continental Africa region, production for quarter two was 368,000 ounces at a cash cost of $638 per ounce compared to $846 per ounce for quarter two 2014. Although the ounce production reduced on the year-on-year comparison, this reduction is due to the planned reductions at Obuasi and our anticipated grade and throughput reductions at Siguiri mine. Geita mine produced 132,000 ounces at a cash cost of $405 per ounce. This improvement can be attributed to higher grades from the Nyankanga ore body, cost reductions through efficiencies in planning and improved plant throughput of 8%. The Kibali mine operated by Randgold had another strong production quarter producing 75,000 attributable ounces with associated cash cost of $547. Slide 20. In the Americas region, production for quarter two was 239,000 ounces at a cash cost of $662 per ounce compared to $729 for quarter two 2014. Ounce production from Brazil was impacted by timing of available stopes in the Cuiaba mine which will be mined in quarter three when comparing to quarter two 2014. Cash costs were down 10% compared to quarter two 2014 at $680 per ounce. At Cerro Vanguardia mine in Argentina, they produced 70,000 ounces in quarter two which is a 13% improvement compared to quarter two 2014. Costs improved slightly despite the inflationary pressures in the country. Slide 21, Australia region. Production for quarter two was 139,000 ounces at a cash cost of $772 compared to a cash cost of $850 for quarter two 2014. Sunrise Dam underground ore production annualized rate has increased to 2.75 million tons per year. This is aligned with plans for increased ore extraction from the underground operation. The mine tonnage movement is critical for establishing the future mine plan and asset capability. The site is working diligently on ore grade reconciliation as the results of a mining method change. At Tropicana mine, production was 81,000 attributable ounces at a cash cost of 533 per ounce. This asset is producing at the designed throughput and cost assumption. Now on to Slide 22. This Slide represents the work at the individual assets that has been completed, analyzed or implemented. I guess, overall, I would say there remains optionality in each asset. Just briefly, at Sunrise Dam due to the comprehensive work changing from open cut to underground, the mining efficiency have been the priority. The site has reduced unit mining cost by greater than 40% and increased total ore mined to 2.75 million tons per annum. Now the resource conversion at Vogue ore body, ore sorting and ore handling infrastructure is becoming more important consideration for future mine life. At Tropicana, the continuation of regional exploration program to fulfill life of mine requirement and backfill sequencing of the pits to optimize mining unit cost. Siguiri mine, access to Area 1, which is a community and government affairs priority. The pre-feasibility for the combination plant is completed and now finalizing the feasibility work. Work continues on optionality of the remote ore bodies at Koun Koun and Saraya. In Geita mine, mobilizing an underground contractor for Star and Comet ore bodies by end of 2015. The evaluation of other underground options with design and exploration work is ongoing. At Iduapriem, spent heap-leach net testing complete and confirming exploration potential Block 1 and analyzing mill throughput improvement. Serra Grande in Brazil, reviewing of cut-off grade options that can potentially improve head grade but we must assure ourselves of the ore body capability. The development of the Inga ore body and defining the Palmeiras [south sole] [ph] ore body are critical path to Serra Grande. Within the iron quad in Mineração, maximizing the ore body capability of Lamego, exploring the satellite ore bodies of Cuiaba, the quartz veins and hanging walls and foot wall, and testing ore sorting opportunity. With our portfolio of projects in Colombia, we continue to reduce holding cost while maintaining optionality. Completing the concept study at Quebradona and limited drilling of the current resource. La Colosa, the pre-feasibility study is in a phased approach with ability to manage the level of spend. At Gramalote, EIA has been submitted. Comments received from federal government and pre-feasibility study is being updated. As you can see, there are tremendous options, opportunities and outcomes that we can manage within this suite of assets. So with that said, I will now turn you over to Graham Ehm.
Graham Ehm: Thanks, Ron. Today I will provide an update on Kibali and Obuasi. Share some of our thinking around business and mine planning and share some of the good results that are coming from exploration. On Slide 24, I have commented previously that phase one of Kibali's development has been completed. Remaining elements are two hydropower stations and the shaft. The Ambarau hydropower station is about 70% complete and will commence power generation in quarter three. Detailed design of the Azambi station has just commenced and will be built in 2016. The three hydro stations will have an installed capacity of 44 megawatt and generate power at 1.5 cents per Kwh. The shaft bottom at 760 meters was reached on the 23rd of July, about three months ahead of plan. Fit-out will take until quarter one 2016, followed by construction of the crusher chamber and load level, leading to ore hoisting around mid-2017. On Slide 25, at Obuasi, a limited operating phase remains on track producing gold from the retreatment of tailings and remnant stockpile. The team is very focused on doing well and produced 14,000 ounces this quarter and 31,000 ounces year-to-date. Development of the decline is continuing to progress according to plan and the feasibility study is also on track for completion by year-end. The study reached an interim milestone this quarter with the completion of the draft study. Even at today's spot price, the results were sufficiently encouraging to warrant us continuing to optimize the study and think through execution planning and risk management. We have also commenced engagement with the Government of Ghana on the key issues on which we would need to align for any future development of Obuasi. In regard to the portfolio on Slide 36, I will spend a little bit of time here. This chart illustrates AngloGold's portfolio in terms of annual production all-in sustaining cost and reserve size in bubble. You will see that several operations are below $800 per ounce. A few are between $900 and $1000 and some are still above $1000. In Ron's presentation, you would have noted the results of the very good and effective work that is being done to improve the all-in sustaining cost over the last two years. Having made significant progress through cost management and a range of efficiency improvements, the next step is achieved through working the mine plans to achieve a lower cost mine configuration. Each mine has a unique set of characteristics driven by the ore body capability that drives the achievable range and production capacity and costs. Our aim is to move the all-in sustaining cost of all the operations to at least below $1000 and preferably below $900. Every ounce produced needs a healthy margin at today's spot and should be resilient at a lower gold price. To get the next tranche of cost reductions, we need to look at the mine plans and think outside the box. I will use a few examples to share what we are doing. Before I move off this chart, you will note on the chart where we think Obuasi will lay in, in a similar position to that of Geita. On Slide 27, in Tanzania Geita's costs are very good and we want to keep it that way. Cut backs are expensive and if you are not careful, you can introduce high cost ounces into the production schedule. At Geita we have re-worked the mine plan for the next six to seven years. We are considering an option to remove two of the high cost cutbacks, cutbacks 9 and 10, and to redesign cutback 8 to reduced short-term exposure to the gold price, retain the low all-in sustaining cost and improve medium-term cash flows. With this approach, all that was scheduled to be mined by cutbacks 9 and 10, would still be available in the future by underground methods or a cutback at higher gold prices. On Slide 28, we have been in operations at Sunrise Dam for almost two decades and transitioned to solely underground mining early last year. You will note that on the portfolio Slide, Sunrise Dam's cost are above our target. Driving cost down can be more challenging in an underground environment where there is often less flexibility. The Sunrise Dam team have been successful in delivering a plan to progressively lift underground ore production through the application of intensive geological work, which has utilized RC drilling for great control and bulk mining method complemented by significant improvements in mining productivity. They are currently running at a annual rate of 2.7 million tons per annum and reduced ore mining costs substantially as demonstrated in the chart in the Slide. Over the next few years, mining will progress to the Vogue area which is progressively deeper than the current ore body. To further improve cost, the team is aiming to increase the production rate to above 3 million ton per annum and are examining an inclined conveyor system to reduce ore haulage cost. On Slide 29, at Tropicana, we are continuing to look at ways to improve this site's performance and reduce cost. A grade streaming approach has been used in the first three years of the operation to leverage the payback period and returns. As we approach 2017, the focus now is on offsetting gradual drop in grade by optimizing the performance of the processing plant through targeted exploration and through mine design. Exploration has been successful in demonstrating the down-dip continuity of the ore body at the contiguous Havana, Tropicana and Boston Shaker pit. Down dip presents a challenge with the cost and scheduling of conventional cutback. We are studying an alternative low-cost approach by adapting the strip mining method that is commonly used in coal and sand mining. This work is considering a starter pit followed by strip mining of a large cutback with the progressive backfilling of the mined out areas. The cutback could be as deep as 400 meters. This approach would extend mine life considerably. It would reduce stripping cost substantially due to in-pit dumping and shorter haul distances. [Pit] [ph] cash flows are much lower compared with the traditional approach to a major pushback. On Slide 30, I would like to share a few comments on Brownfields exploration. Firstly at Geita. All the main ore bodies at Nyankanga, Geita Hill and Star and Comet continue down dip. At Star and Comet, Brownfields result on the high grade lodes have been sufficiently encouraging to justify a small decline at the base of the pit to enable underground exploration trial mining. In this quarter, deeper drilling at Geita Hill returned encouraging intersections of 16 meters at 1.5 and 3.7 meters at 32 grams per ton. And on Slide 31, at Kibali, exploration continued along the 20 km long KZ structure. Results at Gorumbwa intersected a new lode within the sections at 12 meters at 24 and 30 meters at 3.7. At Pakaka which is just near the airstrip, further drilling returned a number of significant intercepts with significant width and grades ranging from 4 to 11 grams per ton. Thank you. And with that I will hand over to Christine.
Christine Ramon: Thank you, Graham. Good morning and good afternoon everyone. As you can see from another strong set of results, our second quarter's performance reflects the sustained operational delivery again beating market consensus views. These numbers reflect the strength of our portfolio and continue to differentiate AngloGold Ashanti from the majority of our peer group. The global macroeconomic environment remains volatile with downside risk, but proceeds received from the sale of CC&V enhances our liquidity and reduces our net debt providing the much needed buffer for volatility. I will now talk to the detail of our second quarter performance concluding on the third quarter and full year outlook. Moving to Slide 33. AngloGold Ashanti is uniquely positioned compared to our peers due to our geographic diversification and our exposure to a basket of currency. Our basket of currency cushioned the drop in the U.S. dollar gold price in 2015. The U.S. dollar per ounce gold price dropped by approximately 8% while on a production weighted basis AGA was positively impacted by 2%. Weakening currencies in South Africa, Brazil, Argentina and Australia cushioned the U.S. dollar drop in the gold price. Given its production weighting and the rand depreciation, South Africa comprises roughly one third of the currency basket. This benefitted our results in addition to the positive impact of lower oil prices which helped lower cash cost in the Continental Africa and Australia regions. Moving on to Slide 34, which deals with the quarterly financial and operating metrics. As we have heard from Venkat, we have delivered ahead of guidance on our overall production and cost target despite the safety stoppages that affected our South African operations due to good performance from our international operations. Notwithstanding an 8% weaker gold price and 8% lower production, we continue to deliver a strong cost performance underpinned by a 12% reduction in all-in sustaining costs. The $124 per ounce reduction in all-in sustaining cost was well supported by improved operational delivery, our cost optimization initiative, whilst we saw significant benefit from weaker currencies and lower oil prices. In addition, while there has been a lag in sustaining capital compared to last year due to the safety stoppages in South Africa, there has also been a positive currency effect on capital expenditure. We remain sensitive to the oil price and currency and confirm our sensitivities at budgeted oil and exchange rate assumptions which we issue with caution. Just to recap. For every $10 per barrel change in the average Brent crude oil price, it will impact our cash costs by $8 an ounce, while a 1% weakening in our currency basket will positively impact cash cost by approximately $6 an ounce. Adjusted EBITDA was solid at $391 million for Q2 , despite lower gold price and lower ounces sold. Free cash flow before financing cost was $130 million compared to $98 million last year. The big swing in free cash flow from last year was due to the positive impact of working capital movements as a result of a decrease in receivables resulting from tax recoveries in Continental Africa and an increase in payables due to timing. Net debt levels increased marginally to approximately $3.1 billion at 30th of June compared to levels in June 2014. Net debt levels against March 2015, however, reduced by $74 million resulting from the free cash flow generation. Following the receipt of the CC&V proceeds on August 3, net debt reduced to approximately $2.3 billion on a pro forma basis. Moving on to Slide 35. All-in sustaining costs showed steady improvement over the past five quarters as you heard from Ron, Chris and Graham. We remain focused on increasing cash margins over this period through a focus on cost discipline with further improvements and operational excellence even a depressed gold price environment. We reduced all-in costs by over $1,100 per ounce from the quarterly peak since 2012 and we have also reduced approximately $625 per ounce from our all-in sustaining cost again from the highest levels to where they are now. This has largely been driven by the improvement in cost performance by the international operations which was covered by Ron. The extent of this reduction relative to where we were and our ability to absorb pressures and sustain this over ten quarters stands out in our peer group. Moving on to Slide 36. Despite overall production level due to Obuasi’s transition to limited operations phase and the disposal of Navachab, as well as the safety-related stoppages in South Africa, we were able to reduce all-in sustaining costs per ounce by $124 per ounce in Q2. The reduction in all-in sustaining costs comprised of efficiency improvements of $73 an ounce which included oil price benefits of $25 an ounce. In addition, there were currency benefits of $87 per ounce as well as lower inventory levels of $27 per ounce. These benefits were offset in part by inflation as well as volume and grade issue. Sustaining capital is down by $20 an ounce, mainly relating to Obuasi now in limited operations, regulatory stoppages in South Africa. There were also changes in the mine plan at Iduapriem and we also experienced some currency benefits. We are experiencing some catch-up in -- we are certainly -- we are expecting some catch-up in sustaining CapEx in the coming quarters that follow due to the timing of some expenditures and increased stay-in business CapEx, particularly at Geita, which is forecast for the rest of the year. I think quite importantly, we do expect to remain within the overall capital expenditure range. However, depending on currency assumptions, we are expecting to bank some of the currency benefits as permanent savings. Our full-year guidance on capital expenditure has been reduced by $100 million due to CC&V disposal. Moving on to Slide 37 which deals with the year-on-year adjusted headline earning movement. We saw that normalized adjusted headline earnings declined by $50 million compared to last year, mainly as a result of the lower ounces sold. As we can see from this Slide, the positive currencies more than compensated for the drop in the gold price and inflationary pressure. The special operating item mainly relates to Obuasi's care and maintenance charges. In the announcement we do point out that there was a higher amortization charge compared to the previous quarter and that resulted mainly due to deferred stripping at Geita. And these occurred for two reasons. The one relates to timing and the second reason really relates to changes in the accounting standard. Previously these [kinds] [ph] of costs of amortization could be amortized over the life of the mine, now we have got to treat it according to components accounting which means that it's got to be amortized over a particular section of the mine which does introduce income statement volatility. Moving on to Slide 38, which deals with financial flexibility. Our net-debt-to-EBITDA ratio of 1.94 times at the 30th of June reduced to 1.44 times in August following the receipt of the proceeds from the CC&V disposal. We have achieved our medium term leverage targets of 1.5 times which compares favorably to our peers and positions the company well to withstand the gold price volatility as well as production disruptions within reason. Just to contextualize the potential impact of production disruption in the South African region, bear in mind that on an annualized basis, and this is based on the actual for 2014, at least 72% of our EBITDA is generated by our international operations. More importantly for quarter two in 2015, more than 80%, or in actual fact 84% of our EBITDA was generated from international operation. Hence the geographic diversification of our portfolio continues to enhance our resilience to this risk. Our liquidity of $2.5 billion has strengthened due to the proceeds received from the disposal of CC&V. In addition, we have increased our rand RCF facility by ZAR1.4 billion post the quarter end to provide additional liquidity in the event of a production disruption in South Africa. We continue to maintain significant headroom and our debt maturity profile remained long-dated with no material bond maturities due until 2020. We continue to see the redemption of the high yield bond as an opportunity bearing in mind that the issuer's call can only be exercised from July 2016 onwards at our discretion. Cash is king in the current environment. We have ring fenced the CC&V proceeds for debt reduction and we will continue to focus on optimizing the financing cost in the group. Our credit ratings remain unchanged at BAA3 rating with a negative outlook by Moody’s, and BB+ with a negative outlook by S&P. Finally, moving on to the outlook for quarter three and the full year guidance for 2015 and it has rebased for CC&V. Overall, we are maintaining the cost guidance for the year despite reducing the production outlook due to the CC&V disposal which is effective from 1 August 2015. Our quarter three guidance includes one month of CC&V's production and the production outlook for Q3 is 900,000 to 950,000 ounces. The Q3 cost guidance, cash cost guidance, is unchanged compared to Q2 at $770 to $820 per ounce and that does take into account the improved production in the South African region given the recent safety stoppages in Q2 as well as higher winter power tariff from South Africa and timing of expenditure. Our annual production guidance has been revised to 3.8 million to 4.1 million ounces for 2015 now excluding CC&V from August 2015 onwards. Cash cost of $770 to $820 per ounce and all-in sustaining cost at $1,000 to $1,050 per ounce remains unchanged. We have made no provisions for power-related stoppages in South Africa and Ghana, or any unforeseen operational disruption. The capital guidance which excludes CC&V from July 2015 onwards, has been reduced to $900 million to $1 billion, of which 77% relates to sustaining CapEx. In conclusion, we have consistently delivered on our production and cost targets and we will continue to look for improvements on our key metrics. And on that positive note, I will now hand over to Venkat to conclude.
Srinivasan Venkatakrishnan: Thank you, Christine. As the Slide will show, and I am now looking at Slide no. 41. We have built a good track record of consistency and delivery on our quarterly guidance. We have either met or beaten every production and cost target since the current team took charge in early 2013. We are in to our tenth consecutive quarter of consistent delivery and that’s despite numerous headwinds that have been coming at us as a gold mining company. However, as I reiterate every quarter, mining is a long-term game and we may miss a quarter or two here and there. But so far, we have certainly bagged all of the quarters to date. Turning to the conclude Slide, Slide no. 42. It's now 46 months since the gold price started to fall from its peak in September 2011. At some stage this has to reverse and start showing a positive trend. But notwithstanding that, we have been proactive and decisive in our response every step of the way. An overarching comment when you are looking at AngloGold Ashanti in a falling gold price environment, do bear in mind that we have got ongoing P500 initiatives which certainly Ron covered and Chris will be implementing in the South African regions, which provides an overall cushion in terms of our cash flow generation. And this we measure in all-in sustaining cost but it's income versus a range of initiatives which involve improving production efficiency and active cost management. In addition to that, favorable currency exposure an weakening oil prices which Christine alluded to, will continue to provide a natural cushion for oil gold prices in a partial manner. And if you look back, as the price has been falling, we have been decisive, we have taken a number of steps which includes slashing our corporate and speculative exploration cost by more than two-thirds since 2012, using conservative planning assumptions, shelving marginal projects and prioritizing margin over volume, proactively addressing balance sheet requirement by turning out debt, by loosening our covenant and importantly, effecting an asset sale. In addition to that, we have continued our cost focus in terms of both supply chain and ongoing labor cost across the portfolio and that has seen our all-in sustaining cost and all-in cost drop significantly whilst keeping long-term options intact. In addition to that going forward as we get ready to deal with any further drop in the gold price, we will tighten our planning assumptions. As Chris alluded, a focus in South Africa would be around safety and getting our [reserve] [ph] development up to recover volume. We will intensify our efforts in terms of efficiencies and costs across the group, further prioritize near-term production, exploration and also look at reducing our Colombian holding cost and potentially optimizing the Obuasi redevelopment schedule. And in some of the near term end of life assets, which require amount of capital to develop, we may chose to harvest these for cash if required in the shorter period. With those concluding comments, I will hand you over to Stewart Bailey.
Stewart Bailey: Chris, we are happy to take questions now, please.
Operator: [Operator Instructions] Our first question is from Andrew Byrne from Barclays. Please go ahead.
Andrew Byrne: I've just got a couple questions on the South African region. I think the international portfolio, the results are speaking for themselves there. If we look at Mponeng, so the question is for Chris. Is there any chance you could talk us through a recap of the B120 project? Give us an idea of timing and CapEx and production, and potentially the timeframe and CapEx needed to move that ore reserve back up to the 20% [formal] [ph] target that you've talked about?
Chris Sheppard: Andrew, I think first point, as I alluded to in the presentation, right now as we speak a large amount of our focus is really on the infrastructure and the operational readiness of the project on phase one. As I indicated, we are focusing on 123 level and 126 level. Getting the decline operations operational to fully facilitate the production buildup and the medium term ore reserve development program. As far as the capital amount is concerned, I don’t have that figure right here in front of me at present and it's something that we should have a discussion on once my first 100 days is actually up in actual effect and have a more detailed conversation.
Andrew Byrne: Yes, sure. Okay. And then just on Mponeng, you mentioned that you're getting pinching out there. Is that due to the actual ore body or is that due to a boundary constraint? Are there any potential synergies with neighbors that you could look to there? Yes.
Chris Sheppard: Okay. I think first taking up the piece about are their synergies with adjacent properties on, so that would be a no because we are at the deepest part of the ore body on the [indiscernible] contact reef at this point in time. Point number two is laterally there are defined grade limits which we understand. So that’s the way I would position my answer to you on that one.
Andrew Byrne: Yes, sure. No problems. And then potentially one for Ron. Just on Geita, Christine mentioned the CapEx is going to pick up in the second half. Is there any chance you can just put some numbers around that just to avoid any shocks in Q3 or Q4?
Christine Ramon: Okay. If I can just help with the numbers there, Andrew. In essence we anticipate total cost is about $35 million stay-in business CapEx for Geita for the full year. And in essence that we saw that coming through in the first half of our $17 million of that and so the balance will come through in the second half. But I think quite importantly, we will be overall staying within the guidance range that we actually put up. And as you know, of the guidance range, $900 million to $1 billion total, 77% of that being spent on stay-in business capital in the group.
Operator: Thank you very much. Our next question is from [indiscernible] from BlueBay Asset Management. Please go ahead.
Unidentified Analyst: I was wondering if you could give us an update in terms of your capital structure. I think you alluded to it on the call. Obviously in the past you've commented on your need to reduce gross debt. You've said that the 2020 bond represents a part of your capital structure that you're not happy with in terms of cost. Has anything really changed in terms of your ability or want to reduce that, given your need to retain potentially excess liquidity in light of a declining gold price? That's my first question. And then the second question I had is, given that you are facing fairly mature operations in terms of your portfolio, have you reconsidered the need to hedge your gold price exposure? Thanks.
Christine Ramon: I think from a capital structure perspective, we have always said that the high-yield bond is an opportunity for us. And as you know that the call option is due from July 2016 onwards, we are focusing on how we can reduce the interest [build] [ph]. From a group perspective just over $100 million of the $250 million interest [build] [ph] does relate to the high-yield bond. And in the current environment, I would just say cash is king. And I think once there is more stability in the gold price outlook, we would be looking at opportunities of how we can reduce the interest [build] [ph]. What we have done post the quarter end is that we actually have repaid the drawn amount of the U.S. dollar RCF facilities, about $200 million was actually drawn. And we repaid that as I think, quite importantly, it's the full $1 billion of the U.S. dollar facility will be available to us. So we are keeping our powder dry on there. And I think that all I would like to say at this point in time, I think importantly from a gold price hedging perspective, we are not making any fundamental changes from that perspective and has been kept -- and I spoke to in the presentation, there is a natural hedge as relates to the gold price. Maybe strong correlation in terms of the currency basket that we are exposed to. It's only really Continental Africa that actually doesn’t benefit from the currency aspect but the rest of the portfolio actually does. And they are not forcing a low gold price environment. One actually does experience the lower oil prices, low inflationary effects coming through and clearly, there is a bit of a natural cushion with relation to that.
Unidentified Analyst: Right. I mean on the earnings call, you mentioned that you've ring fenced the proceeds from CC&V. What do you mean by that?
Christine Ramon: It means that the proceed is being kept in dollars offshore, between the Isle of Man and the United States at this point in time. And so it's ring fenced for debt reduction so it will not be applied to any project related capital.
Harry Mateer: Right, okay. I mean given that the call price on the bonds is 106 and they're trading below that. Would you look to potentially move ahead of the call option next July or are you more inclined to retain liquidity and see if the gold price stabilizes?
Christine Ramon: Yes. I think you know, like I have said we would be looking at that from July next year onwards and clearly the current gold price environment does make us want to hand on to the catch and I think that’s the way I would like to leave it.
Operator: Thank you very much. [Operator Instructions] Our next question is from [Anand Jha] [ph] from Copal Amba. Please go ahead.
Unidentified Analyst: I have two questions. Would it be possible for you to give us a breakup between your sustainable CapEx and development in CapEx and the guidance which you have given? And second question, if I look at the guidance for your total cash cost and all-in sustaining cost this quarter and compare with last quarter, while the currency assumptions for currency, factoring weaker currencies and lower crude oil prices, your cash cost of operations, you have not revised that guidance. Can you give some color on that? Thank you.
Christine Ramon: Okay. Thank you for the question. I think I did speak to capital and the capital guidance for the year and I said 77% of the range of the $900 million to the $1 billion capital guidance. 77% of that is relating to sustaining capital. So then the balance would be, 23% would be relating to project capital. As regard to the outlook for the year, yes, it is based on stronger exchange rate assumptions than what we have experienced. And if you look at the commodity prices that we have actually used, in particular the oil price, we have also assumed the higher assumption than what it's trading at for both Q3 and for the remainder of the year. And hence that actually does factor into our cash cost and all-in sustaining cost outlook for the year. I think quite importantly, is we are quite cautious. There is still six months of the year to flow and I am talking about on the numbers that we have actually reported on. In addition to that we have experienced the big lag when it actually comes to capital expenditures. So there is normally quite a bit catch up in Q3 and then in Q4. And then there are some wage negotiations, as you are aware, that’s actually underway across jurisdictions also in Continental Africa, and those increases have to be backdated into the beginning of the year. So it does factor some of that in. So we are conservative and clearly there is a little bit of buffer that’s actually factored into that outlook as well. But as I have also said in my outlook Slide is that we certainly look and we focus on how we can actually improve on the guidance that we do actually have given so the focus will remain there.
Unidentified Analyst: Thank you. And just one more quick question, which is related to a question asked earlier. Given the fact that your 2020 bonds are trading at around $1.024 to a dollar and they're callable at $1.0624 to a dollar next year in July, and that you have sufficient cash balance and undrawn credit facilities. Does it not make much financial sense to call in the bonds or make a tender offer for the bonds now even after, say, 10%, 15% premium?
Christine Ramon: Yes. I did answer the question previously. I think you know it's important for us to retain liquidity in the current environment. We are obviously focusing on how we can reduce the interest bill and so certainly that focus will remain but like I said, the target does remain the high-yield bond and when the call option is actually due and it's from then onwards. So there is flexibility even after July next year.
Operator: Thank you very much. Our final question is from Harry Mateer from Barclays Capital. Please go ahead.
Harry Mateer: Two questions. I guess. first, as it relates to the ongoing labor negations in Africa. Can you just give us a roadmap of some of the key dates and events [indiscernible] going forward?
Srinivasan Venkatakrishnan: Sorry, Harry, your line is breaking up at the moment. We can't hear it. It's sort of coming in...
Harry Mateer: Sorry. Perhaps this is better. So just two questions. First, as it relates to the ongoing labor negotiations in South Africa, can you just give us a roadmap of the key dates and events we should be watching for from this point forward?
Srinivasan Venkatakrishnan: Okay. Let met pick that up. Typically what happens is when we started negotiating sometime in June, initially went through to July. We are in August. Certainly one of the union has formally declared a dispute and is taking it to the CCMA. Typically a CCMA process, and this is the Council for Mediation and Arbitration established under the labor regulations in South Africa. The process can take anything between, from two days to around 30 days. In practice it tends to take closer to the 30 days than the two days. So certainly all that makes four to five weeks, you will have sort of news flow coming out of that and at the end of 30 days a decision will be made by the CCMA in terms of the way forward.
Harry Mateer: Okay, great. Thank you. And then second question, I know there have already been some questions on debt reduction, but just to put a finer point on it, perhaps. Should we take your comments to mean that you are focused on retaining cash right now and as a result, you really are just looking at the high-yield bonds next year and not reducing any debt under the credit facilities at present?
Christine Ramon: Well, yes. You've summed it up correctly. But I think quite importantly is we are keeping all options open at this point in time, cash is king.
Ron Largent: And Harry, just another point. Christine did reference the fact that we have paid $200 million on the U.S. dollar RCF.
Christine Ramon: Yes.
Harry Mateer: Got it. And then what about the Aussie dollar facility?
Christine Ramon: No. Aussie dollar, obviously still remains intact. There has been some debt repayments as regards to that in the past quarter but there is $270 million still undrawn as regards to the Aussie dollar facility at this point in time.
Operator: Ladies and gentlemen, we have one final question from Tanya Jakusconek from Scotiabank. Please go ahead.
Tanya Jakusconek: Yes, good afternoon, everybody. Maybe some questions for Christine. Just on your Slide, page 46, you show your June quarter over your prior quarter, so Q2 over Q1, and you show the $11 per ounce benefit from exchange. What about your fuel? Where is your fuel in this and how much was that?
Christine Ramon: Yes. So I just talk to it in my slides. The fuel benefits have been offset, and this actually June quarter versus prior quarter. So I think some of that has actually been offset in the special receipts block over there. I have just [said] [ph] the year-on-year, I don’t have the outright number on quarter on quarter. But if you compare the current year to the prior year, it was about $25 benefit that was included in the efficiency gain that is actually referred to in -- you are referring to the backup Slide...?
Tanya Jakusconek: Yes. I'm actually interested in June over Q1, because a year ago like is a long time ago and oil is very different. So maybe if we could get someone to get us back the -- you know what did we offset?
Christine Ramon: We can get back. We can get back to you on that. Obviously there would have been oil benefits actually coming through.
Tanya Jakusconek: Exactly.
Christine Ramon: [indiscernible] Did you have that?
Tanya Jakusconek: Yes, and I think we had for you combined for Q1 currency and fuel helping you by $25 an ounce, so I'm just trying to see what that number would be in Q2.
Christine Ramon: All right.
Tanya Jakusconek: And then maybe, Christine, just on some of your other holding costs. What are your holding costs right now for Obuasi, Colosa and some of the other assets that you're trying to reduce some of these holding costs? What are they annually, so that we understand what's it costing you to hold them?
Srinivasan Venkatakrishnan: Actually, Tanya, if I can pick it up. The holding cost we have provided is only in respect of 2015 when we took Obuasi into limited operating phase. And if you recall, we said, from a profit and loss point of view, you have got about 100 million for Obuasi. That’s around 60 million of care and maintenance. And then $30 million in terms of underground development and $10 million for the feasibility study. That is just for 2015. We have not given any forward-looking numbers for 2016 because that’s really a function of whether the project goes ahead or it doesn’t go ahead. It could change materially. That’s in respect of Obuasi. The second in respect of Colombia, I would like John and Christine to come in -- it's around, just north of $80 million in terms of holding cost for 2015. Going into 2016 we would look at reducing that quite significantly and work is underway in that regard.
Tanya Jakusconek: You said 80 million, eight zero?
Srinivasan Venkatakrishnan: Eight zero. That’s correct.
Christine Ramon: And that’s actually across all of the projects in Colombia and in includes Greenfield exploration of about $15 million.
Stewart Bailey: Thank you, very much ladies and gentlemen. That’s all we have got time for today. Thanks for making the time and we will check you again in three months.
Operator: Thank you very much. Ladies and gentlemen, on behalf of AngloGold Ashanti, that concludes this conference. Thank you for joining us. You may now disconnect your lines.